Operator: Hello, everyone, and welcome to the Venture Global, Inc. fourth quarter 2025 earnings conference call. After today's prepared remarks, we will host a question and answer session. If you would like to ask a question, please press 1 on your telephone keypad. To withdraw your question, please press 1 again. I will now hand the conference over to Benjamin Nolan, Senior Vice President, Investor Relations. Please go ahead.
Benjamin Nolan: Thank you, John. Good morning, everyone, and welcome to Venture Global, Inc.’s fourth quarter 2025 earnings call. I am joined this morning by Michael Sabel, Venture Global’s CEO, Executive Co-Chairman, and Founder; Jonathan Thayer, our CFO; and other members of Venture Global’s senior management team. Before we begin, I would like to remind all listeners that our remarks, including answers to your questions, may contain forward-looking statements, and actual results could differ materially from what is described in these statements. I encourage you to refer to the disclaimers in our earnings presentation, which is available on the Investors section of our website. Additionally, we may include certain non-GAAP metrics such as consolidated adjusted EBITDA, which we may refer to simply as EBITDA during this call. A reconciliation of these metrics to the most relevant GAAP measures can be found in the appendix of the earnings presentation posted on our website. Finally, the guidance in this presentation is only effective as of today. In general, we will not update guidance until the following quarter and will not update or affirm guidance other than through broadly disseminated public disclosure. I will now turn the call over to Michael Sabel.
Michael Sabel: Thank you, Ben. Good morning, everyone, and thank you for joining us today. We are pleased to share our fourth quarter and full-year 2025 results and provide guidance for 2026. I will begin the call with an overview of our key accomplishments and future plans before shifting to our LNG projects individually. I will then make some remarks on the LNG industry and the current events before turning over the call to Jack, who will provide a more detailed review of our financial results and guidance for 2026. Following all prepared remarks, we will open the line to Q&A. Turning to page 5 of the presentation, 2025 was a landmark year for Venture Global. In January, we went public. We reached commercial operations at our first project, Calcasieu Pass, in April. At Plaquemines, after producing our first cargo in December 2024, we have ramped up commissioning activities and are now generating more than one commissioning cargo per day. And at CP2, our largest project to date, we launched construction and raised financing for the first phase in July. This means we are simultaneously constructing 57+ MTPA of capacity across two facilities. Phase 1 of Plaquemines is on track for COD this year, and construction of the first phase of CP2 is running well and is on schedule and on budget. Total assets grew by approximately $10 billion to $53 billion, and EBITDA and income from operations nearly tripled. Venture Global is on track to be the largest LNG producer in North America, supported by more than $134 billion of total contracted third-party revenue, which we expect to continue to grow as we add to our existing base of 49 MTPA of long- and intermediate-term offtake agreements. For 2026, it is worth noting that we now have 69% of expected production capacity contracted, a percentage that should rise quickly as we anticipate signing additional short- to intermediate- and long-term contracts in the near term. Venture Global equity has been publicly listed for just over a year now, and our priority has been to control what we can control and deliver on what we promised. As you see on page 6, we have accomplished a great deal this year. The number of cargoes we produced in 2025 was at the high end of the guidance range set out at the IPO. We reached FID at CP2 Phase 1. We secured 7.75 MTPA of additional 20-year SPAs. We leveraged data generation and analysis lessons learned from Calcasieu Pass to further increase production capacity at Plaquemines, and we identified low-cost bolt-on production opportunities at our first three facilities in excess of what we had originally anticipated. In addition, as you can see in the column to the right, we believe there should be further upside to each of these areas in 2026, and we are working diligently to deliver growth and returns for our shareholders and customers. The constant pursuit of excellence is core to our culture. As we have highlighted on page 7, the combination of structural benefits from our modular approach, massive data capture and analysis, and our unrelenting focus on continuous learning and improvement translates into superior LNG production and project-level operating and maintenance costs that are currently about 30% below industry averages, and we see room for further improvements. We have continued the process of bringing most of the typical EPC functions in-house, which has enabled us to construct our facilities in less than half the time many other LNG projects take, which, combined with our faster production ramp, translates into lower costs and better returns. While efficiency and speed are important objectives, our first priority remains the safety of our employees, contractors, and communities, as reflected in our best-in-class safety record. Finally, we are working to monetize the key components of the LNG value chain and augment our LNG portfolio with complementary midstream, shipping, regasification, and, in the case of CP2, nitrogen removal assets, all of which we expect should give us better access to attractively priced gas, protect and enhance margins, and improve our customer connectivity. We view our LNG infrastructure as technology assets that we are constantly optimizing to be safer, faster, and more efficient. You can see on page 8 our near-term outlook for the buildup of production from our facilities. We anticipate Calcasieu Pass, Plaquemines, and CP2 Phases 1 and 2, when complete, will generate approximately 68+ MTPA on an annual run-rate basis with room for upside from optimization efforts and peak production opportunities. Of this 68 MTPA, we have contracted approximately 72% already on a long-term basis. Beyond that, we have included what we anticipate will be our next additions following CP2 Phase 2. As I will discuss in more detail shortly, we expect to be able to add approximately 13 MTPA of bolt-on capacity at CP2 and Plaquemines at costs well below even our own industry-low construction pricing and even faster than our industry-leading construction timelines. This tremendous growth in the number of trains and related infrastructure translates into a more than doubling of monthly ship loadings, growing from approximately 43 per month today to approximately 90 per month in 2029. This, in turn, could transform our cash flows. For example, assuming just a $3 per MMBtu liquefaction fee for our uncontracted volumes, we estimate that by 2029 our EBITDA could be about $11 billion. Assuming a $5 per MMBtu on uncontracted volumes, that estimated EBITDA number could rise to $17 billion, reflecting the straightforward impact of installation of more trains producing more LNG commodity product. Our new production ramp is expected to be staggered with the COD dates of our existing projects such that as we complete commissioning at one project and move to long-term fixed-rate contracts, the new production capacity should begin to ramp, creating a balanced portfolio of long-, intermediate-, and short-dated sales agreements. This should improve cash flow visibility and provide an optimal balance of margin and predictable cash flow while, importantly, retaining very valuable upside earning optionality. As we advance on schedule this year at CP2 and next year to COD of Phases 1 and 2 of Plaquemines, we will activate an increasing portion of our $134 billion of long-term contracted third-party revenue, now blended with a growing portfolio of intermediate-term tenor sales contracts. We are actively working to add to both the 20-year and intermediate-term contract portfolios and anticipate more deals in the coming quarters. Importantly, we currently target funding all of our project CapEx and incremental growth with our existing construction loans, retained earnings, and incremental project-level borrowing, with no parent-level equity, preferred, or debt anticipated at this time. Notably, we have executed our Plaquemines and CP2 construction financings while retaining 100% ownership of those projects and, therefore, of course, 100% of future earnings. Turning to page 9, since we re-entered the contracting market in April, Venture Global has signed 9.25 MTPA of new 20-year SPAs with a fantastic portfolio of customers. This is more volume than any other LNG company in the market, demonstrating that the world's top buyers trust our execution and reliability. Today, we are pleased to announce our first five-year contract at Venture Global Commodities for approximately 0.5 MTPA with Trafigura. Additionally, last week, we signed a new 1.5 MTPA 20-year SPA with Hanwha Aerospace, marking our first long-term contract with a South Korean customer. These two new binding agreements add to the four we signed in the fourth quarter 2025 with Naturgy Atlantic LNG, Mitsui, and Tokyo Gas. On page 10, I will highlight our performance in Q4 and the exceptional year-over-year increase in our results. As you can see, we nearly tripled revenue, income from operations, and EBITDA through the gradual ramp of commissioning. Jack will discuss these numbers in greater detail later, but the main takeaway is our company's ability in the fourth quarter to generate over $2 billion of EBITDA and $1 billion of net income during a period of disruptive market dynamics, including swings in commodity prices and a period of challenging ship availability, underscoring the resiliency of our business model and resourcefulness of our team. Turning to page 11, thanks to our innovative temporary power solution, all 30 liquefaction trains at Plaquemines have undergone initial startup. We also recently filed a request with FERC to increase the authorized peak liquefaction capacity at both Plaquemines and CP2 to 35 MTPA, as well as filing with FERC and the U.S. Department of Energy for up to 31 MTPA of bolt-on expansion at Plaquemines. Our construction success is predicated on our mission to be the safest LNG developer in the industry, as reflected by our 0.16 total recordable incident rate compared to the national average of 2.2. I mentioned our commercial success in 2025 earlier, and now early 2026, but our finance team is also very busy as we issued $3 billion of Plaquemines notes to repay construction financing, and we are currently hard at work to finalize the construction loan for Phase 2 to fully fund the construction of that phase of CP2. Turning to page 13, we show a summary of the projects we are planning to bring online by the end of the decade, as I just discussed. As you know, there are further low-cost bolt-on and growth opportunities available to us, but we thought it would be helpful to outline our near-term development plans. Moving to page 14, it was business as usual at Calcasieu Pass during Q4, as we exported 38 cargoes, which is down slightly from our prior expectations, as ship availability and Atlantic storm delays late in the quarter did impact several anticipated cargoes. I wanted to provide some update commentary on the Calcasieu Pass arbitrations. In January, we received a favorable no-liability decision in the Repsol arbitration proceedings. Going forward, the non-cash reserve, which reflects our best estimate of award outcomes from BP and the other three remaining arbitrations, is currently estimated to be a $13 million per quarter adjustment to revenue at Calcasieu Pass through the 20-year duration of the SPA contract terms, while the impact to EBITDA will be less due to adjustments for noncontrolling interest and taxes. Importantly, this is an estimate, and there is no cash impact to our fourth quarter financial statements. We will update these estimates in our financials quarterly as we receive arbitration results and incorporate any final financial awards or settlements going forward. Also, while BP has raised the quantum of their damages claim, our position as to our exposure there is unchanged, as the clear language of the contracts prevents recovery of the categories and magnitude of damages sought by BP. Turning to page 15, Plaquemines continues to progress construction, commissioning, and the performance reliability assurance testing required in advance of Phase 1 COD in Q4 of this year and Phase 2 COD in mid-2027. Although we continue to utilize and rely on a significant amount of temporary power, in the second quarter we expect Phase 1 will transition to its permanent power plant configuration. We are yet to achieve substantial completion, but we are on schedule and targeting substantial completion under the scopes of the EPC by late summer, so coming soon. Turning to page 16, CP2 is now just over seven months from Phase 1 FID announced on July 28. Despite this short period, I am pleased to announce construction of Phase 1 is proceeding well on schedule and budget, and over the weekend we raised the roof on our first LNG tank, making it the fastest time to a roof raise of this size in the history of the LNG industry. Furthermore, we now have six of the 26 liquefaction trains delivered to the site and on foundations, and expect delivery of the first pretreatment module in the coming months. With respect to Phase 2, as I mentioned, we have now signed 5 MTPA of 20-year SPAs to support the financing for the project. We continue to have constructive conversations with offtakers and expect to announce additional SPAs in coming quarters. With $1.7 billion of equity already invested in Phase 2, we expect project financing and FID to be complete in coming weeks. We anticipate funding the entire CP2 project with retained earnings and a construction loan from a group of leading banks, enabling Venture Global to again maintain 100% ownership in one of the world's largest LNG projects. On page 17, we depict the first two bolt-on expansions we expect to develop after FID of CP2 Phase 2, subject to additional contracting and regulatory approval. The bolt-ons at CP2 and Plaquemines are straightforward liquefaction train and gas turbine additions that should add around 6.4 MTPA each. The additions leverage the benefits of our modular approach, resulting in what we expect to be much lower cost and much shorter construction timelines. These developments exemplify the advantages of our midscale modular approach to the original designs, as well as the power to leverage existing redundancies built in. Turning to page 19, the past few months and recent events have demonstrated the impact of seasonality, the inherent tightness of LNG supply and demand, and, of course, the impact of geopolitics on our market. While LNG spreads compressed in late 2025, cold weather in January and February has exhausted gas inventories in Europe to low levels, lifting LNG forward curves. Of course, this is all impacted by current events over the weekend. Furthermore, a number of LNG projects under construction have announced delays with their planned start dates. As you can see on the left, the forward curves reflect the market expectation for LNG prices in both Asia and Europe to remain at considerable spreads over Henry Hub through 2028, even during periods of expected cold weather and higher U.S. gas prices. Of course, these are the forward curves reflected on Friday. As we approach production at CP2, our pipeline infrastructure which enables us to access Permian gas at Waha and Katy is likely to become increasingly supportive of expanded margins. Importantly, Waha gas is expected to remain at a significant discount to Henry Hub, creating an opportunity for positive basis impact at CP2, highlighting the value of our investment in nitrogen removing units to address high nitrogen levels found in that basin. Flipping to page 20, based on our bottom-up view of the global LNG market on the left, we expect demand to meet or exceed supply through the end of the decade, then quickly move to undersupplied early next decade unless additional liquefaction capacity is added. This positively supports contracting demand for our growing portfolio. Importantly, these assumptions are conservatively based on demand growth of 4.7% through 2035, which is below the historical 5.3% from 2015 to 2025. Demand for clean baseload electricity continues to grow, and new LNG markets are being developed throughout the world. Historically, demand for energy, and certainly gas, increases as price declines, provided the physical infrastructure exists to support it, which we see on page 21, where we see expansion of regasification infrastructure which is further positioned to grow by approximately 40% from 2024 to 2030, with upside as new projects are announced. China alone is positioned to add more than 100 MTPA of regas capacity by 2030. India is committed to taking natural gas from just 6% of primary energy mix to 15% by 2030 as well. There has also been a sharp increase in developments from new markets like Iraq, Vietnam, the Philippines, South Africa, New Zealand, and others. We see countries around the world increasingly require reliable, consistent sources of energy, seek alternatives to cross-border pipelines, and make investments to meet rising power demand. Furthermore, we estimate regasification utilization would only need to reach 40% of capacity in order to offset all of the new liquefaction infrastructure currently under construction, which again has seen slippage in FIDs and projected startup timing. Page 22 reflects the growth in gas-powered generation in both Europe and China. Not only are investments being made in regasification infrastructure, but also in gas power generation, which we expect to experience heavy utilization, particularly at attractive LNG prices. In 2025, a high-price global LNG market, less than 3% of Chinese power was produced from natural gas, while more than 55% came from coal. As existing installed gas generation capacity operates at higher capacity factors and new gas-fired power generation is added, we expect LNG imports to follow as delivered LNG prices moderate. Domestic gas production is flattening in China, and new pipeline additions are limited. Furthermore, we estimate that every 1% share gain by LNG relative to coal would translate into 34 MTPA of LNG demand. At $10 per MMBtu LNG prices, for example, the cost of electricity in China is about 7 to 8¢ per kilowatt hour, converging on the cost of coal-fired power generation, and history has proven that people consume affordably priced electricity. In the event LNG prices were to fall below $10 per MMBtu and gas and coal power generation approach parity, we would expect a sharp demand response, creating an LNG price floor at levels supporting liquefaction margins well in excess of those reflected by current long-term SPA prices. Of course, we are in moments of price volatility, but we expect those, as we move beyond current events, to smooth out. Consequently, we are confident that the market is building the infrastructure to easily absorb new LNG supply, and demand elasticity should mean every drop of LNG the market would be able to produce over the next several years should be consumed at reasonable prices. As evidenced by the forward curve, historical precedent, and contracting activity, our customers feel the same. I will now turn it over to Jonathan, our CFO, who will review the financials and our updated guidance.
Jonathan Thayer: Thank you, Mike. Pardon me. And good morning to those on the line. I will be referring to the Venture Global, Inc. Form 10-K for the year ended December 2025. The 10-K is available on our website, and some of the key results are summarized on page 24 of the presentation. During this call, I will highlight results I believe are salient to this audience, and I encourage you to review the entirety of our financial statements in detail. Beginning with revenue, our top line was $4.4 billion for Q4 2025, a $2.9 billion increase from $1.5 billion during the equivalent period in 2024. This increase in revenue was driven by $3.8 billion from higher sales volumes, 478 TBtu in Q4 2025 compared with 128 TBtu in Q4 2024, which was partially offset by $945 million from lower net rates, primarily at Calcasieu Pass due to the commencement of LNG sales under its post-COD SPAs. For the full year 2025, revenue was $13.8 billion, up $8.8 billion from $5.0 billion in 2024, primarily due to increased sales volumes partially offset by lower rates. Our income from operations was $1.7 billion in Q4 2025, a $1.1 billion increase from $594 million in Q4 2024. This shift was primarily driven by the higher sales volumes I mentioned previously, which resulted in a greater total margin for LNG sold. These increases were partially offset by $50 million of higher operating costs in support of the ramp up of LNG production at the Plaquemines project and operating our tankers, as well as $32 million and $147 million of higher G&A and depreciation expenses, respectively. We experienced a reduction in our development expenses of $72 million quarter over quarter, as many of the costs associated with our three-phase CP2 project were capitalized. For the full year 2025, income from operations was $5.2 billion, up $3.4 billion from $1.8 billion in 2024. Our net income attributable to common stockholders, which we will refer to as net income, was $1.1 billion for Q4 2025, a $196 million increase from the $871 million in Q4 2024. Higher interest expense and changes in interest rate swaps negatively impacted Q4 results year over year by $330 million and $476 million, respectively. For full year 2025, net income was $2.3 billion, up $800 million from $1.5 billion in 2024. Shifting to consolidated adjusted EBITDA, we earned $2.0 billion during Q4 2025, a $1.3 billion or 191% increase from $688 million in Q4 2024. This increase in consolidated adjusted EBITDA was driven chiefly by higher sales volumes, partially offset by lower prices. For the full year 2025, consolidated adjusted EBITDA was $6.3 billion, a $4.2 billion or 200% increase from $2.1 billion in 2024. The increase in consolidated adjusted EBITDA was again driven by higher sales volumes, partially offset by lower prices. Our projects exported a total of 128 cargoes in Q4, which increased by 95 cargoes compared with the same period in 2024. Of these cargoes, 478 TBtu of volumes are reflected in our results for Q4 2025, more than tripling production compared with 128 TBtu in Q4 2024. I would also like to call out several additional financial updates. The company issued $3.0 billion of Plaquemines notes in the quarter, which, in combination with the proceeds from interest rate swap breakages, we used to repay $3.2 billion of the Plaquemines construction loan. For the year, we raised $33.0 billion in support of our development and to refinance existing debt. Also during the quarter, we secured a new $2.0 billion corporate revolving credit facility, which was undrawn at year-end. For the full year 2025, we reduced total leverage at Calcasieu Pass by $190 million, and at Plaquemines, we reduced total leverage by $919 million. Moving to project performance and forward guidance, on page 25, we are looking to produce between 486 to 527 cargoes from both facilities in 2026, and including volumes sold under our long-term SPAs, we have now contracted 69% of potential 2026 cargoes. In the fourth quarter at Calcasieu Pass, on the 38 cargoes exported, we realized an implied weighted average liquefaction fee of $2.10 per MMBtu, which incorporates arbitration-related reserves. For 2026, based on average liquefaction fees achieved from SPAs and excess cargoes sold on a forward basis to date, we expect an implied weighted average liquefaction fee of $1.98 per MMBtu at Calcasieu Pass, including an adjustment for arbitration reserves. For the full year 2026, we expect to export 145 to 156 cargoes. At Plaquemines, the facility exported 90 cargoes at a realized weighted average liquefaction fee of $6.20 per MMBtu on our commissioning cargoes during the fourth quarter, which was negatively impacted by a brief period of margin compression in December as Henry Hub prices escalated, shipping day rates increased, and TTF remained largely static. The shipping impact was partially mitigated by our owned and chartered fleet, demonstrating the advantages of maintaining a fleet of controlled vessels. In total, Plaquemines exported 234 cargoes in 2025, which we expect to rise to 341 to 370 cargoes in 2026. This wider-than-normal range of potential production is driven by the inherent variability in the commissioning process, as we prioritize the completion of construction and commissioning and address any remediation items through the startup process, which may cause brief periods of interruption. Thus far, including Phase 1 COD in Q4, Plaquemines has contracted 59% of potential cargoes for the year, capturing a weighted average liquefaction fee of $4.50 per MMBtu on those contracted commissioning cargoes and fourth quarter SPA cargoes. As you see on page 26, based on this cargo count, we are providing consolidated EBITDA guidance for a range of $5.2 billion to $5.8 billion for 2026. This range assumes a liquefaction fee of $5 to $6 per MMBtu for cargoes remaining to be sold over 2026, consistent with current TTF and JKM forward price expectations as of Friday. On average, if fixed liquefaction fees over the remainder of 2026 increase or decrease by $1 per MMBtu, we expect our consolidated adjusted EBITDA range to adjust accordingly by $575 million to $625 million. While we do not typically provide quarterly consolidated adjusted guidance, and do not intend to do so in future quarters, as you will see on page 27, we did want to provide some color with respect to the impact of Winter Storm Fern, as well as the residual impact of margin compression in late Q4 2025. Relative to a $5.50 per MMBtu liquefaction fee on our available capacity, we estimate higher Henry Hub prices, the absence of several foregone cargoes, and basis impact at Plaquemines will have had approximately a $500 million impact on Q1 2026 consolidated adjusted EBITDA, which we now expect to range from $1.15 billion to $1.25 billion. I will now turn the call back over to Mike.
Michael Sabel: Thanks, Jack. Before I turn to questions, I want to address the concerning situation unfolding in the Middle East. We are monitoring developments closely and hoping for the safety of all Americans and everyone else in the region. The events over the weekend have had a strong impact on global energy markets. With the largest available incremental LNG capacity in the world, the United States will play a critical role during this historic disruption in the market. Venture Global stands ready to help keep the market stabilized and supplied. I will now stand by for questions.
Operator: Thank you. We will now begin the question and answer session. Please limit yourself to one question and one follow-up. If you would like to ask a question, please press 1 on your telephone keypad. To withdraw your question, please press 1 again. Please pick up your handset when asking a question. If you are muted locally, please remember to unmute your device. Please stand by while we compile the Q&A roster. Our first question will be coming from the line of John McKay from Goldman Sachs. John, your line is now open.
John McKay: Hey. Good morning, everyone. Thank you for the time. Hey. Good morning. Mike, can we start on the macro? I know you just touched on it right here. Maybe just any perspective on what you guys are seeing in the market right now? What are you watching for a read on what is going on, how long the Qatar disruptions could last, etcetera? And then, to connect it to all of this, just walk us through a little bit of what your ability to transact against these current prices could look like?
Michael Sabel: Thanks. Yep. No. Obviously, it is a sad situation in the Middle East, and we are hoping for a fast recovery. We have a very long-term view on the market, which is that low and stable LNG prices increase demand over time, and our business model is designed to deliver low-cost LNG into the market. In the short term, the higher prices are helpful for our spreads, obviously. We probably have the largest number of available cargoes in the market. On Friday, it was us and Qatar that had the largest available volumes, and so, with Qatar for the moment turned off and potentially damaged, the market is waiting to see if there can be an estimate on when it can turn back on and the ships can start to flow through. Obviously, the price in the market with physical commodities is based upon the price of the last available physical cargo, and the market is going to take a few days, I think, to digest what that looks like. Europe, as you know, has been and is at fairly low historic levels of storage, and so this is not helpful timing, though spring is around the corner in a few weeks here, so that should help. There are markets in Asia that are also heavily reliant on Qatar supply, and every day that ships cannot flow through, that creates a lot of backup and incremental demand. We are unique also in that we have our own fleet of ships. With owned and leased, we have nine ships. We take delivery of two more here in coming months. We are uniquely able to move cargoes with our own vessels in this market while TTF and JKM have spiked, so have shipping rates, and so shipping is going to play a very critical role in support of the market and having impact on the ability to move the cargoes.
John McKay: I appreciate that, Mike. I want to look a little longer or medium term through the back of the decade. You guys are laying out a pretty large construction plan, fair amount of CapEx, of course, associated with that. Can you again walk us through what your funding plans look like right now? And how much of that plan to get to mid-80s or somewhere into the 80s on capacity is based on an assumption of higher prices in the market? Thanks.
Michael Sabel: Yep. None of it is based on higher prices. We can comfortably execute it with attractive returns at the long-term contracts that we have and the ones that we are working on, and at the prices on the commissioning cargoes as well. We are working, as we said, to hopefully finish up the second phase FID for CP2, and as we guided to, we currently do not expect to use any parent debt, preferred, or common equity, just project-level construction loans and retained earnings. And for the bolt-ons, which, after the second phase of CP2, is incremental 13+ MTPA, we expect again to be able to use retained earnings and construction loans, leveraging incremental contracts as well. And so from a capital standpoint, our plan today and our expectation is that we will be able to finance that incremental CapEx without tapping parent capital materially again, and retain 100% ownership of that growth. And, as I said in the opening statement, with those two bolt-on transactions, that would get us to that roughly 90 cargoes a month in 2029.
Operator: Thank you for your question. Your next question comes from Manav Gupta from UBS. Your line is now open.
Manav Gupta: Good morning, Mike and team. My first is we recently saw a filing by you in which you basically indicate that you would be in a position to run Plaquemines at 35 MTPA and maybe CP2 at 35. I am trying to understand how you are able to find these incremental volumes in your system. Is it the engineering? Is it the design? Is it operational efficiency? Are the massive data operations that you have set up? Help us understand how these incremental volumes are available in the system.
Michael Sabel: Good morning, Manav. Thanks. We really designed the facilities to physically and safely be able to operate at that capacity of 35 MTPA if conditions support it, which means during the cold months we are able to operate at that level. On an annual level, that would work out to around 31 MTPA for the year. The facility, from a safety standpoint and a throughput capacity, could operate at 35 for the whole year if it were cold for the whole year, but when you average it out, at that level it would operate 31 MTPA. The way we achieved it is a combination of lots of adjustments we have made from CP1 to Plaquemines and CP2, and it is a combination of our managing pressure and our modularity and our controls. I would say it is almost all driven by the mass amount of data collection that we process. I think we are now capturing over 500,000 data collection points every 10 seconds between Calcasieu Pass and Plaquemines, and we have a large data science team and AI programmers that consume that data and incorporate it into our operations and our process design. We have achieved extraordinary dividends from it, so we are extremely pleased. We are able to, particularly because we have so many trains that we operate now, experiment with changes in configuration that allow us to fine-tune production.
Manav Gupta: Perfect. My next question, Mike, is more on your vision. We will see a big build-out of LNG. How do you see Venture Global positioned in it? You are the low-cost provider. We also see you as somewhat of an industry disruptor, which is basically going out there and asking a question of why should it take six years to develop an LNG project when it can be done in two or three years. The reason I am also asking is there were some competing LNG projects which are basically saying, okay, we do not actually want to do this anymore. Maybe that is a function of they really cannot compete against people like you. So help us understand your vision for the company in the massive LNG build-out that we will see in the next four or five years.
Michael Sabel: Thanks, Manav. I think our space is the same as many other spaces. When there are new business models and disruption in different categories, the incumbents in existing parts of the market react to it. In our industry, we all produce the identical product, the same liquid methane commodity, and it is largely differentiated on price, and we do have a significant price and speed advantage. We are bringing on large volumes of liquefaction in the market, we believe, and that will inevitably have an impact on people making decisions to invest capital to expand production capacity that in some cases would be multiples more expensive than what we are bringing on. We do expect it to have a deterrent impact as we come into the market, and we know, in the future, because we are bringing on volumes at scale, we will have a positive impact on lowering the price, which, as I mentioned a few minutes ago, we like because part of our mission and part of the satisfaction we get out of what we are doing and working so hard is to lower global energy prices, and over time that fundamentally increases demand for us. Since we are able to add so much more volume, we make money for shareholders with volume even if prices compress. Thank you.
Operator: Thank you very much for your question. Your next question comes from Elvira Scotto from RBC Capital Markets. Your line is now open.
Elvira Scotto: Thanks. Good morning. I know you talked a little bit about the macro, but maybe a little bit more here, especially as there are concerns around supply glut. I mean, obviously, current events notwithstanding. You talk about lower prices driving demand and coal-to-gas switching. To the events of this weekend, were you actually seeing incremental demand? Can you talk a little bit more about that? And prior, as TTF or global prices move lower?
Michael Sabel: Yeah. Thanks for that question, because that is actually one of the important things that we wanted to talk about on this call. When we look at the market in the next four, five, six years, we see, when you map out the new projects that are projected to come online and demand that is the same or slightly below what it has tracked for the last 10 to 15 years, which is over 5% annual growth, that the market is in balance to a little bit short in the next few years but then, in the early 2030s, is very short, and, of course, if projects are delayed, then the short gets more significant. Even with the current balance, which the market can see, the projects that are coming, the market net spread today as of Friday was between $5 and $6, and, as we announced this morning, we just did a very attractive five-year deal at VGC, and we are working on more of them now. That really belies the argument that there is terrible spread compression coming. We think that, based on what we see in the market and demand, the markets look really steady. Over time, the replacement cost of liquefaction capacity is going to set what the floor price is, and we think the global cost of new liquefaction capacity is north of $2,000 per ton when you take global costs into account, and at that price, you really need $3.50 to $4.50 minimum for long-term contract prices to support returns. On the question of downside protection, it is obviously empirical that when energy prices go down, demand goes up. It has been the case in human history other than pandemics. The question is, is there a physical infrastructure in place that allows for increased demand as prices go down? The answer is absolutely yes. The market today has a lot more regas capacity than it utilizes. I think in the next couple years, the market will approach over 1,500 MTPA of regas capacity globally, and a good estimate for 2030 market supply is around 620 MTPA, and so the market’s almost triple regas capacity relative to supply. There is plenty of capacity for prices to have an impact on demand as they go down. We also always like to point out what is the converted price of the delivered fuel to a market into electricity. At a $10 per MMBtu price into China, for example, or Asian markets, that is 7 to 8¢ per kilowatt hour electricity. That is extremely attractive, similar for Europe, and historically electricity prices, and by corollary fuel prices at that level, are bought at full production capacity. We are very optimistic on what the prices are going to be in the next few years, and we are seeing it in our contracting activity. We do not need it to be there, but we just believe that it will average there and average higher. As I said in the script I just read, because we are adding so much volume of liquefaction trains, even at low prices, at $3 per MMBtu in the next few years, that could equate to $11 billion of EBITDA in 2029 with the extra trains, and at $5, which we think is very possible too, that would be $17 billion, which is a reflection of just the massive scale of trains that we keep adding. I know that was a walk-by, Elvira. Hopefully, it was helpful.
Elvira Scotto: Yeah. That was very helpful. Then you touched on it a little bit, but on the contracting side, you announced these two new contracts in the past few days, the 20-year SPA with Hanwha and the five-year contract with Trafigura. Can you talk a little bit about pricing around those contracts? And then how do you see the appetite for long-term SPAs? Finally, remind us the mix that you target between long-term, medium-term, and short-term contracts?
Michael Sabel: The Hanwha contract, we have not disclosed any specific prices on it, but it is consistent with what we have been doing recently in our contracting. Our 20-year and our midterm contracting activity is very busy, and we expect more deals in coming quarters on both 20-year and midterm. The midterm contract is, I am not going to give you an exact price, but it is north of a $3 net spread over five years, and so relative to the 20-year contract price, very attractive for us, and again illustrates the demand and pricing in the market relative to what some people view as significant compression coming, which we disagree with. We are very, very busy on both midterm and long-term contracts, and we expect that to continue. We are approaching, we are almost at 50 MTPA of 20-year contracts, which is right around the nameplate capacity of Calcasieu Pass, Plaquemines, and CP2. On a traditional nameplate capacity, which does not apply to us anymore, we are almost fully contracted on a 20-year basis, which allows us to right-size the construction loans that we use to support those projects at coverage levels that give us the same debt coverage that the rating agencies want to see that will allow us to be investment grade around COD for the projects. From a debt coverage, both debt amortization and interest coverage, we are the same as the rest of the market. Of course, we produce a lot more than that. That gives us enormous upside optionality and very free to cheap capacity, and that will begin to pay us dividends. I mentioned it briefly in the script, but in the case of CP2, we invested heavily and foresaw the opportunity almost three years ago to access gas directly from the Permian, Waha, all the way to CP2, and we have invested massively in large-scale nitrogen removing units. I think it will end up being over $1 billion that has been invested, and pipelines along lateral CPX and the Blackfin pipeline that interconnects and takes us all the way to Katy, and transportation agreements that physically connect us to Waha, and that combined with the nitrogen removal unit make us unique as the only facility that can take massive direct volumes from Waha to our facility and handle the large amounts of nitrogen efficiently. We are feeling good about that. That was three years of engineering and design work and execution.
Operator: Thank you very much for your question. Your next question comes from Chris Robertson from Deutsche Bank. Chris, your line is now open.
Chris Robertson: Thank you, Operator. Good morning, Mike.
Michael Sabel: Good morning, Chris.
Chris Robertson: Just going back to the long-term SPA agreements signed this year and last, I know you are not commenting directly on pricing, but can you comment around the directionality, let us say, of liquefaction fees over time? Has that been fairly range-bound over the past few quarters? Or has that moved up due to a rising-tide-lifts-all-ships type of market environment here?
Michael Sabel: We have been holding it steady deliberately because we are able to provide attractive returns at that price, and we are able to execute the volume of contracts that we want, but we are at a significant discount to where we think the rest of the market is getting priced. We are going to maintain our levels because we have a lot of volume that we can build very attractively at those price points. This is a culmination of 12 to 13 years of work for us to build out the team and the supply chain and the sites to be able to continue to do this, and so we are going to continue to add the 20-year deals at prices that are very nice returns for us and allow us to continue to grab market share. We are excited to add the liquefaction trains very cost effectively that give us the higher volumes of production capacity that, regardless of the price volatility, generate enormous amounts of free cash for us.
Chris Robertson: Thanks for that, Mike. Following up on a few of the points there, just looking at the expansionary nature of the CP2 and Plaquemines bolt-ons, how are you thinking about, is there a change in calculus on the amount of long-term contracted coverage or nameplate capacity on long-term contract required by the lenders? If so, what are you targeting in terms of total contracted nameplate on those expansion projects? How should we think about expected CapEx on a dollar per MT basis, just given their nature of not being new build assets but expansions?
Michael Sabel: Thanks for that question. Our primary focus after the second phase of CP2 are the two discrete bolt-ons, one at CP2 and one at Plaquemines, and they are four-block, eight-train additions that marry up really well with the existing balance of plant, and, as you said, allow us to do it very cost effectively. We expect it to be at a significant discount to the already good cost that we are able to achieve, and also we will be able to build it faster because there is a lot less that goes with it. They are each around 6.5 MTPA. After those, we will watch the contracting progress of our 20-year deals and our five-year deals to see what the expansions are after that, but we are focused primarily on those two discrete projects because they are so much less expensive and so much faster, and we designed Phases 1 and 2 for CP2 and Plaquemines to anticipate them. In particular for CP2, it is inside the existing wall, and the pipe bracket connections are very short. It will go in very quickly and very efficiently. Those bolt-ons will allow us to get to that kind of 81 to 85 MTPA in early 2029. We need to keep pace with the permitting, which is very strong in this environment, but with our existing supply chain, our teams, and our sites, we can layer that in very quickly and start to produce from them later in 2028 and 2029. That will get us to roughly 90 cargoes loading a month in 2029.
Chris Robertson: Thank you, Mike. I appreciate the answers. I will turn it over.
Operator: Thank you very much for your question. Your next question now comes from Greg Brody from Bank of America.
Greg Brody: Good morning, everybody.
Michael Sabel: Hey, Greg. Good morning.
Greg Brody: Good morning, everybody.
Michael Sabel: Hey. Good morning. I think you just, as you laid out very nicely that you do not have capital expectations at the holding company between equity and debt, just talk a little bit if, at the project level, things have changed a little bit. Are you still planning on funding 50/50? And talk about the appetite for banks to support that.
Michael Sabel: The appetite of the banks on the construction loan side is extremely strong. The quality of the execution by the teams and the projects is appreciated by the banks, and since we are largely building identical things and process systems at our facilities and projects, the bank capital market can understand it well and has great visibility into tracking progress. That has supported us in having very efficient access to the bank capital markets, and we expect that to continue to be the case. We have already invested a lot of equity from retained earnings into the second phase of CP2, and when we finance that second phase, it will become one financing, and so we do not expect to have to add, at this point, capital from the parent to support it. It will be construction loans, existing capital invested, retained earnings. After this coming Phase 2, the bolt-ons are unique because they are less expensive and they turn on even faster. Do not hold me to this or invest based on this. It is a forward-looking statement, but it is roughly 20 months or so to turn on the bolt-ons because there is so much less kit that is required to do those bolt-ons. When you produce revenue so quickly and earnings so quickly on those bolt-ons, it gives you a lot of flexibility in how you can finance, at the project level, those sites. The combination of speed and lower cost gives us lots of really attractive options about how to add it and how to contract it in the market.
Greg Brody: Got it. Then maybe just last one for me. Obviously, you have had some success with the arbitrations as of late. How are you thinking about that as part of your funding plan? To the extent you settle anything, and just a reminder on timing for when you think we will actually get some numbers from the BP process.
Michael Sabel: There is no hearing expected to be set for BP this year, so that process will play into next year, probably later next year, before there are any further developments there. We expect the next results on the arbitration front in coming quarters. On the back of the very successful result on the Repsol win, we remain positive on outlooks for the remaining arbitrations, and so we are hoping to largely have resolution in the next few quarters and have it all behind us.
Operator: Thank you very much for your questions. There are no further questions at this time. I will now turn the call back to Michael Sabel, CEO, Executive Co-Chairman, and Founder, for closing remarks.
Michael Sabel: Thank you, everybody. We appreciate the time this morning, and we look forward to conversations in coming days with all or many of you, and we are going to be working hard for everybody through these challenging and volatile markets in parallel with all the construction activity that continues. So thanks again for the support, and we look forward to seeing and speaking with you soon.
Operator: This concludes today's call. Thank you for attending. You may now disconnect.